Operator: Good afternoon, and welcome to the Red Rock Resorts Third Quarter 2025 Conference Call. [Operator Instructions] Please note this conference call is being recorded. I would now like to turn the conference over to Mr. Stephen Cootey, Executive Vice President, Chief Financial Officer and Treasurer of Red Rock Resorts. Please go ahead.
Stephen Cootey: Thank you, operator, and good afternoon, everyone. Thank you for joining us today for Red Rock Resorts Third Quarter 2025 Earnings Conference Call. Joining me on the call today are Frank and Lorenzo Fertitta, Scott Kreeger and our executive management team. I'd like to remind everyone that our call today will include forward-looking statements under the safe harbor provisions of the United States federal securities laws. Developments and results may differ from those projected. During the call, we will also discuss non-GAAP financial measures. For definitions and complete reconciliation of these figures to GAAP, please refer to the financial tables in our earnings release, Form 8-K and investor deck, which were filed this afternoon prior to the call. Also, please note this call is being recorded. The third quarter was another strong one for the company by every measure. Our Las Vegas operations once again set new records, delivering its highest third quarter net revenue and adjusted EBITDA in our history while maintaining a near record adjusted EBITDA margin. This marks the ninth consecutive quarter of record net revenue and the fifth consecutive quarter of record adjusted EBITDA, underscoring the strength, consistency and long-term earnings power of our operating model. In addition to delivering strong financial results, we remain very pleased with the continued performance of our Durango Casino Resort and the revenue backfill at our core properties. Durango continues to expand the Las Vegas locals market, drive incremental play from our existing customer base and attract new guests to the Station Casinos brand. Despite the disruption caused by the construction of our new high limit slot room and covered parking garage, the property continued to demonstrate strong momentum within the quarter with increased visitation and elevated net theoretical win from our carted customers in the surrounding Durango area as well as adding new customers to the brand. As discussed on prior earnings calls, construction continues on the current phase of our Durango master plan. This expansion will add more than 25,000 square feet of additional casino space, including a new high limit slot area and bar. In total, the project will introduce approximately 230 new slot machines with 120 allocated to the high limit room. As part of this phase, we are also building a new covered parking garage with nearly 2,000 spaces, which will enhance customer access and provide infrastructure flexibility to support future growth of the company. The total project cost is approximately $120 million remains on budget and is expected to be completed in late December. With this phase nearing completion, we are now turning our attention to the next phase of Durango's master plan as we continue to build on the property's early success and strong customer demand. Supported by robust market fundamentals and the rapid development of the surrounding area, this next phase will expand the podium along the north side of the existing facility by more than 275,000 square feet. The expansion will add nearly 400 additional slot machines and [ancillary] gaming to the casino floor as well as introduce a range of new amenities designed to enhance the guest experience and deliver on what our customers are asking for, including a state-of-the-art 36-lane bowling facility, luxury movie theaters, a mix of new restaurant concepts and food hall tenants and multiple entertainment venues designed to drive repeat visitation and broaden our customer appeal. Construction is expected to begin in January and will take approximately 18 months to complete. The total project cost is estimated at approximately $385 million and will be executed under a guaranteed maximum price contract. We are excited to embark on this next phase of growth at Durango. And upon completion, we believe the property will be even better positioned to capture additional market share and drive sustained growth in the local market, which is expected to add more than 6,000 new households within 3-mile radius of the property over the next few years, complemented by the continued build-out of Downtown Summerlin and Summerlin West, which together are projected to add approximately 34,000 new households. Now let's take a look at our third quarter. With respect to our Las Vegas operations, our third quarter net revenue was $468.6 million, up almost 1% from the prior year's third quarter. Our adjusted EBITDA was $209.4 million, up 3.4% from the prior year's third quarter. Our adjusted EBITDA margin was 44.7%, an increase of 110 basis points from the prior year. On a consolidated basis, our third quarter net revenue, which includes $3.9 million from our North Fork project, was $475.6 million, up 1.6% from the prior year's third quarter. Our adjusted EBITDA, which also includes $3.9 million from our North Fork project, was $190.9 million, up 4.5% from the prior year's third quarter. Our adjusted EBITDA margin was 40.1% for the quarter, an increase of 110 basis points from the prior year. In the quarter, we converted 67.3% of our adjusted EBITDA into operating free cash flow, generating $128.5 million or $1.21 per share. This brings our year-to-date cumulative free cash flow to $335.3 million or $3.17 per share. This strong level of free cash flow was strategically deployed to support our long-term growth initiatives, including our most recent projects at Durango, Sunset Station and Green Valley Ranch or returned to our stakeholders through debt reduction, dividends and share repurchases. As we begin the fourth quarter, we remained focused on our core local guests while continue to grow our regional and national customer segments across the portfolio. Compared to the third quarter of last year, we saw continued strength in carded slot play across our database, including our regional and national segments. Robust visitation and net theoretical win helped drive the highest third quarter revenue and profitability in our gaming segment in the company's history. Turning to our non-gaming operations. Both hotel and food and beverage delivered another strong quarter, achieving near record revenue and profitability in the quarter. The hotel segment performed exceptionally well, generating near-record results despite the West Tower at Green Valley Ranch being offline for renovation, driven by our team's success in increasing occupancy across the portfolio. The Food and Beverage segment achieved record revenue and near-record profitability for the quarter, supported by higher cover counts across our outlets. In group sales and catering, our teams delivered near record third quarter revenue, and we continue to see positive momentum in both business lines through the balance of 2025 and into early 2026. As we look ahead to the fourth quarter, we are seeing continued stability in our core slot and table games business within the locals market and across our Carta database. We've also seen a return to a more normal hold in our sports business as we start the fourth quarter. While we do expect near-term disruption impact from our ongoing construction projects at Durango, Sunset Station and Green Valley Ranch, we remain as confident as ever in the strength of our business and long-term growth prospects. Now let's cover a few balance sheet and capital items. The company's cash and cash equivalents at the end of the third quarter were $129.8 million, and the total principal amount of debt outstanding was $3.4 billion, resulting in net debt of $3.3 billion. At the end of the third quarter, the company's net debt-to-EBITDA ratio was 3.89x. During the third quarter, we made total distributions of approximately $27.8 million to the LLC unitholders of Station Holdco, including a distribution of approximately $16.3 million to Red Rock Resorts. The company used a portion of the distribution to pay its previously declared quarterly dividend of $0.25 per Class A common share and repurchase approximately 92,000 Class A common shares under its previously announced $600 million share repurchase program. Prior to the earnings call, our Board authorized an extension of our existing share repurchase program to December 31, 2027, as well as authorized an additional $300 million to our existing share repurchase program, giving us $573 million of availability for future share repurchases. As a reminder, since we began purchasing shares either through our share repurchase program or the 2021 tender, we have purchased approximately 15.2 million Class A shares at an average price of $45.53 per share, reducing our share count to approximately 105.9 million shares. As mentioned on our previous earnings call, there was no estimated cash tax payment for Red Rock Resorts in the third quarter, and we do not anticipate one occurring in the fourth quarter due to the passage of the One Big Beautiful Bill Act earlier this year. Capital spend in the third quarter was $93.7 million, which includes approximately $70.5 million in investment capital as well as $23.2 million in maintenance capital. This brings our year-to-date capital spend to $240.1 million, which includes approximately $163.1 million in investment capital as well as $77 million in maintenance capital. For the full year 2025, we now expect to spend between $325 million and $350 million, down $25 million from our previous earnings call, mainly due to the timing of capital expenditures. The full year capital spend includes $235 million to $250 million in investment capital as well as $90 million to $100 million in maintenance capital. In addition to our continued investment in our Durango property, we are making significant investments in our Sunset Station and Green Valley Ranch properties. At Sunset Station, we continue to advance our podium refresh to better position the property for continued growth in Henderson, particularly for the master planned communities of the Sky and Cadence, which are expected to deliver over 12,500 new households at full build-out. The $53 million renovation includes an all-new Country Western bar and Nightclub, a new Mexican restaurant, a new center bar and a fully renovated casino floor. We are pleased to report that customer feedback and initial financial performance on the completed portions of the renovation has been overwhelmingly positive, reinforcing our confidence in the project's direction. The project remains on budget with the new amenities expected to come online throughout the remainder of 2025 and into the first half of 2026. At Green Valley Ranch, we've commenced a comprehensive refresh of our guestroom suites and convention spaces, aligning the hotel experience with the recently renovated and well-received high limit table and slot rooms at the property. Work on the rooms in the West Tower is currently underway and is expected to be completed by mid-November, at which point the East Tower will come offline. While we are still reviewing the East Tower and convention schedules, we now expect the timing for this portion of the project to extend into the summer of 2026. As with our recently -- other recently introduced amenities, we believe these upgrades will generate strong returns. However, we do anticipate some continued disruption at the property through the first half of 2026 as we bring these new offerings online for our guests. Turning now to North Fork. Construction is progressing well. We expect to have the facility enclosed by the end of the month and permanent power in place by December, keeping us on pace for an early fourth quarter 2026 opening. The total all-in project cost remains approximately $750 million is fully financed and is being executed under a guaranteed maximum price contract. When complete, this best-in-class resort will feature approximately 100,000 square feet of casino space with over 2,400 slot machines, including 2,000 Class III games, 40 table games, 2 food and beverage outlets and a food court with many exciting options. At the end of the quarter, Red Rock's outstanding note balance due from the tribe stands at approximately $75.2 million. We're excited about this project, very happy with the progress of construction and look forward to providing further updates on future earnings calls. Lastly, the company's Board of Directors has approved an increase in our regular quarterly cash dividend of $0.26 per Class A common share payable on December 31 to shareholders of record as of December 15. The decision to raise our regular quarter dividend reflects the continued strength we are seeing in our business and the confidence we have in our long-term earnings power of our operating model. Including the dividend and the share repurchases completed during the quarter, we will have returned approximately $221 million to our shareholders year-to-date, demonstrating our ongoing commitment to disciplined capital allocation and delivering sustainable long-term value to our shareholders. With a third record quarter behind us, strong momentum from the start of the year has continued, and we remain confident in the strength and resilience of our business. Durango continues to validate our long-term growth strategy and highlight the value of our own development pipeline and real estate bank, which includes more than 450 acres of developable land in highly desirable locations across the Las Vegas Valley. Combined with our portfolio of best-in-class assets in premier locations, this pipeline positions us for significant long-term growth and allows us to fully capitalize on the favorable demographic trends and high barriers to entry that define the Las Vegas locals market. Looking ahead, we remain focused on executing our development pipeline, maintaining operating discipline and enhancing shareholder returns through a balanced and consistent capital allocation strategy. Finally, we want to take a moment to sincerely thank all of our team members for their continued hard work and dedication. Our success begins with them. They are the driving force behind the exceptional guest experience that keep our guests coming back time and again. Thanks to their efforts, we are proud to have been recognized with multiple accolades, including being voted top casino employer in the Las Vegas Valley for 5 consecutive years, certified as a Great Place to Work for 4 years running and named one of America's best in-state employers by Forbes for the second year in a row. We were also honored as a top place to work by USA TODAY and recently recognized by Newsweek as one of America's Greatest Workplaces in Nevada. Lastly, we extend our heartfelt gratitude to our loyal guests for their unwavering support over the past 6 decades. With that, operator, we're happy to open the line for questions.
Operator: [Operator Instructions] and at this time, our first question will come from Dan Politzer with JPMorgan.
Daniel Politzer: First, Durango, I guess, we can call it Phase 3, if you will. Can you maybe talk about the rationale there for adding on as you kind of finish up this initial phase, the disruption impact and maybe how to frame returns just given there is a big component of this project that's going to be clearly non-gaming?
Lorenzo Fertitta: Sure. This is Lorenzo. Obviously, as you know, Durango opened very strong 2 years ago. Guests really have taken to the property, and we've been very happy with the results so far. Going back to the overall premise of the Durango investment, looking at the fact where the location exists, there's no competition within 3 miles in a growing market, submarket in Las Vegas. And then when we look at demand there, particularly for entertainment assets at that property, we felt like that there was the ability to drive additional traffic and additional guests by adding some additional capacity as well as additional entertainment assets there. And look, and the reality is that from a return standpoint, we expect to get similar returns on the expansion that we have gotten so far on the initial build, which is right in line with what we had communicated to everybody when we announced the project.
Stephen Cootey: And of all the customer surveys that we've done since we opened, the one thing that our customer base expects is all these other entertainment amenities like movie theaters and bowling and things of this nature. So we're basically giving our customers what they're asking for. And that's really what we build as regional entertainment destinations in the best locations with the best amenities at the facilities. That's what's allowed our company to grow the way that it has.
Daniel Politzer: Got it. That makes sense. And then just in terms of the quarter, Steve, I think you alluded to something along the lines of sports betting hold. I don't know if you can quantify what that might have been in the quarter? And then along those lines, any way to kind of get a sense of what that disruption impact, where we stand year-to-date versus I think that $23 million, although given it sounds like they're [indiscernible].
Stephen Cootey: It's really last year was like a not normal sports hold last year given the way the NFL had most of the favorites winning every game.
Lorenzo Fertitta: Yes. If you recall, last October, we announced that last third quarter call, we announced we had about $4 million of unfavorable hold. So I just wanted to remind everyone that we're back to a normal hold as Q4 is progressing. In terms of, I think, disruption, I think this quarter was a really outstanding quarter by every measure, even despite the disruption we had in both our Green Valley Ranch, where the hotel remains offline through mid-November. It probably impacted our results by $2.5 million to $3 million for the quarter, after which the East Tower will then go right down. We also did experience some disruption, especially during peak parking times at Durango and at Sunset Station as we're during peak construction times. As mentioned, with the Green Valley Ranch project extended, we expect that disruption to extend beyond 2025 and into 2026. For Q4, we're estimating Green Valley disruption probably around $8 million.
Operator: The next question will come from Brandt Montour with Barclays.
Brandt Montour: So Steve, you called out in the hotel business, exceptional success. Obviously, one of your peers has an asset that's a little bit closer to the strip that was feeling it right from the sort of Las Vegas softness. And I know you guys are sort of running a different model, perhaps a different customer, different regional location. But maybe you could just comment on what you did see in terms of the strip weakness over the summer in your business. You guys have been taking share from the strip on VIPs. Did that kind of hold its own even with what's going on over there?
Scott Kreeger: Brandt, this is Scott. Maybe I'll take this one. For the quarter, we were very happy with the hotel performance. We look at the choppy market in the city, and we felt like we were very resilient in regard to the performance. One thing to caveat, if you look at hotel revenue being down, it's largely a function of the Green Valley rooms being offline. So if you take that out, we actually performed quite well. Occupancy was up about 244 basis points. And when you look at RevPAR, we were only off by about 1.3%. And if you added back in the GVR rooms that RevPAR, we probably would have been positive in RevPAR for the quarter. Probably the one thing that you're most interested in is ADR. And we kind of mirrored the rest of the city where you saw luxury properties performing a little bit better in ADR year-over-year comparison to, say, something that's more 2- or 3-star level. We saw the same thing. But if you look at overall ADR for our company against the Strip, we outperformed them by about 25% on an ADR basis.
Brandt Montour: Okay. Great. And then just to circle back on one of Dan's questions. I don't know if I caught it. But Phase 3 Durango disruption potential, assuming not that big of a deal. I mean it's on the north side, and so maybe it's not a big deal and you guys didn't -- but you didn't talk about it making sure we didn't miss anything there.
Stephen Cootey: No Brandt, you didn't miss anything. I think we're still working through the details as we're getting for the construction launch in January. But we do feel that disrupting the north side of the resort is going to cause some significant disruption.
Operator: The next question will come from Stephen Grambling with Morgan Stanley.
Stephen Grambling: Just a follow-up on Brandt's question about the strip. Just maybe more broadly, how do you think about the health of the Strip and its impact on your business? And should we be thinking that maybe historical correlations are not potentially useful at this point?
Stephen Cootey: Yes, Stephen, I know there's been a lot of discussion, particularly since G2E about the recent softening trends from the strip and really whether these things are going to spill over in the locals market. And I think the first thing to do is really differentiate the business model. So the past 50 years, we viewed the Las Vegas locals market. It's just a fundamentally different business. One unlike the strip, it doesn't rely on heavy tourism, doesn't rely on conventions nor is it hotel driven. Instead, our locals market is anchored in a gaming-centric business model that offers value propositions to both local guests as well as out-of-town guests and at its core, is supported by incredibly loyal guests who, in our case, over 50% of our card revenue sees guests come over 8 times a month. And then further, the market continues to display resilience and stability within this market. We believe we're best positioned to capture our fair share of that market in the Las Vegas Valley. And this is demonstrated by our financial results. We had 9 record quarters of revenue and 5 record quarters of EBITDA.
Stephen Grambling: Makes sense. And then you've got a lot on your plate, I recognize with the different projects. But as we look further out to some of the new development opportunities out there, just given the confidence that it sounds like you have in some of these projects, does it change how you think about either the magnitude or what projects or even the ROIC that you could have on some of the land that you could still develop going forward?
Scott Kreeger: Well, this is Scott. That's a great question. I don't think that anything has really changed in our view and what we've said in the past. The announcement of Durango North is really just about the fact that Durango North is shovel-ready. So it's the quickest project we can get in the ground. That does not slow us down in any way in our master planning, entitlement or cost analysis of the other projects that we've talked about, namely Cactus and Inspirada.
Stephen Cootey: And perhaps the Durango hotel rooms.
Lorenzo Fertitta: This is Lorenzo, we're continuing to plan and design and move forward with entitlements, and we're as bullish as we've ever been relative to the future development of the company and our ability to generate returns.
Operator: The next question will come from David Katz with Jefferies.
David Katz: So just to follow on to that a bit. I know Steve and everyone, we've had the discussion about potentially having 2 projects kind of in the ground and spending at once. And that was possible, but it didn't seem all that likely. Can you sort of give us your updated perspective on that?
Scott Kreeger: Look, we definitely could have 2 projects in the ground at the same time, but I don't think that would be more than a minor overlap in my opinion. One project may be winding down with another project starting out.
Stephen Cootey: And that said, David, when you talk about major developments, like we just announced Durango North, which we view as almost an extension of a new build. At the same time, we're doing an extensive remodel at Green Valley. We're doing extension remodel at Sunset Station.
Scott Kreeger: And we're working on our greenfield projects.
David Katz: Okay. Lots of balls in the air. And Steve, I just want to make sure I heard correctly, fully loaded leverage is 3.89x. Just looking through the next 12 months, is that a neighborhood that we should expect you to kind of stay in? Or does that start to ramp up in your model?
Stephen Cootey: Right now, I can tell you we're very comfortable with the leverage. This quarter marked the sixth quarter in a row of deleveraging. And as I mentioned earlier, we converted 67% of our EBITDA to free cash flow. So we do plan on funding these resorts out of free cash. Leverage, if it does spike up because of the development of these projects would be temporary in nature as we get these projects up and running, particularly our Green Valley project and Sunset Station projects online and generating cash.
David Katz: And you don't expect to be a cash taxpayer in the near term?
Stephen Cootey: No. I think as Frank alluded to, the tax bill has been -- is going to be incredibly favorable for these development projects. When we took an initial look, and there's still some wood to chop in this analysis, but we would expect 100% of the Sunset Station project that's currently scoped to be allowed to accelerate depreciation, about 40% of the GDR project to be accelerated, 40% of the Durango North project to be accelerated and about 10% of the current Durango South garage to be accelerated. When you kind of put all that together, that's a little bit over $300 million of capital we're going to put to work that we'll be able to accelerate depreciation and take advantage of the tax bill.
Operator: The next question will come from Ben Chaiken with Mizuho.
Benjamin Chaiken: Just a follow-up on the tax benefit that you were just running through. I guess now that you have a better view of what the capital outlays will look like in '26, could you help us with the free cash flow conversion next year, EBITDA to free cash flow?
Stephen Cootey: Well, I mean, we're still in the throes of actually doing our operating budget and our capital plan for 2026. What we was able to focus on is our capital on our existing projects. I mean that's really where the extent of it. I do -- as you've seen over the last several quarters, we've reduced capital outlays by $25 million, mainly due to the timing of those projects. So these 3 same projects, the Sunset is currently scoped, Green Valley, the hotel and convention as well as the Durango South the Garage, which is going to be opening in mid-December, about $175 million of capital related to those projects will spill over into 2026, just as a matter of timing. And hopefully, that helps, Ben.
Benjamin Chaiken: Yes, that's very helpful. I appreciate it. And then just kind of like more modeling related. In the past, you've -- last couple of quarters, you've given us some seasonality color. Is there anything notable we should consider as we close out the year? I think you mentioned $8 million of construction disruption. Just anything else you'd flag?
Stephen Cootey: I mean, typically, Q4 to -- Q3 to Q4 seasonality is usually up about 10% to 11%. Right now, at least we haven't seen anything that would argue differently. But then as you mentioned, that's going to be offset by there's some Green Valley disruption, about $8 million and probably Sunset Station to the tune of $1 million to $1.5 million.
Operator: The next question will come from John DeCree with CBRE.
John DeCree: Maybe a question operationally. You talked a little bit about on the hotel side, the performance on luxury versus more value-oriented options. I wonder if you could speak to the gaming business, perhaps the database. And Steve, you may have touched a little bit on this in the prepared remarks. But what are you seeing across the database kind of upper tiers versus lower tiers? And any trends in kind of unrated play? It's not a huge piece of your business, but from a consumer perspective.
Scott Kreeger: John, this is Scott. I'll take that one. For the quarter, we saw meaningful increases in carded and uncarded slot win. It's really been consistent and stable performance. And it's really a function of us prioritizing investments around our higher valued customers. So whether that's having some of the best-in-class high [indiscernible] rooms in town, new relevant amenities, best-in-class assets, keeping them clean and fresh and really location. That's what I was just going to say is the fact that we're positioned in these high net worth, high-growth areas on arterial freeways is really shining through in the database. So when you look at our local, our regional and our national customers, all of those groups or those categories are up meaningfully with particular growth in VIP, regional and national, while the lower worth segments remained stable. And then I also mentioned and you got that uncarded is also up for the quarter.
John DeCree: That's all really helpful. And then maybe an easy one on the promotional environment. Las Vegas is kind of a separate market, but we're kind of seeing and hearing outside of Las Vegas regionally a little bit of uptick in promotional activity. Have you guys noted or seen anything, of course, throughout the summer or currently in terms of changes in competitive behavior in the market?
Scott Kreeger: No, it's been business as usual for us. So it remains very constant and rational.
Operator: The next question will come from Chad Beynon with Macquarie.
Chad Beynon: Flow-through in the quarter was slightly better than, I think, what most expected given the disruption that you called out and OpEx per day was down for the first time in several years. Can you just talk about if this is sustainable from a cost standpoint? And anything else that we should be thinking about from a labor, utility, et cetera, standpoint for expenses in the next couple of quarters?
Scott Kreeger: I can take the OpEx part, maybe you take the free cash flow part. Really, you said it. Overall, operating expenses were flat to down for the quarter. When you look at COGS as a percentage of revenue, we were flat. When you look at utilities and repairs and maintenance, we were down slightly. So payroll, we were up a bit, but that was a function of us giving a 3% raise in the middle of the year to salary and hourly employees, which is really kind of a CPI pacing pay raise. But fundamentally, as long as marketing remains rational, which it has for the last several years, these are completely sustainable efforts and kind of a shout out to our operating teams in the field. They're incredibly focused on margin control and expense management and the GMs and their teams out in the field do a great job.
Stephen Cootey: Yes. And just to add to piggyback what Scott said, and I was going to give a similar shot on the revenue side. I mean this is really -- it's about operating leverage and a flow-through operating leverage. So as Scott mentioned, the database is healthy. The business is healthy despite some disruption at 3 of our properties. So if we keep that up, flow-through should be sustainable. The consolidated flow-through, Chad, is probably a little bit lumpy just given the fact that there's the North Fork development fee embedded in that. But other than that, it's business as usual.
Chad Beynon: And then actually a good segue to my next question. Just in terms of the fee, you said opening for North Fork, you said Q4 '26. When will you start to receive kind of those top and bottom line economics? Do those flow through as the property ramps? Or are there any deferred payments in terms of how that's structured?
Stephen Cootey: Well, I think the first thing I think you'll see is that we've been accruing, we accrued $10 million of the development fee last quarter, $3.9 million this quarter. We expect to accrue $3.4 million pretty much through the opening. That obviously is noncash. Once the resort opens in Q4 per the development agreement, I would think about -- there's going to be an influx of cash from that development fee upon the resort successful opening. And the -- there's probably going to be a true-up of that development fee, probably, I would say, a quarter behind that as we true up construction costs. And as Frank is mentioning, the $75 million note payable goes cash interest immediately upon cash open, and then we will look to recoup that note as soon as the property starts cash flowing at which point our 7-year management agreement kicks in the day we opened. And we expect -- if we're going to give guidance to that resort, we expect to generate $40 million to $50 million in management fees upon stabilization over that term.
Operator: The next question will come from Joe Stauff with Susquehanna.
Joseph Stauff: Just 2 quick ones. I was wondering if you can maybe just give us an update on the backfill process at Red Rock. I know there are a couple of things moving around in the quarter with GBR out, the hotel offline. But I was wondering if you could comment on that. And just to clarify, Scott, I think you had mentioned in the previous answer that both regional and national demand were up in the quarter. Is that right?
Scott Kreeger: That's correct.
Stephen Cootey: On the backfill, we're on track. As you know, when we kind of kicked off the Durango process in December of '23, we said that we would experience cannibalization. We did. We expected within 3 years to backfill Red Rock. And so we're kind of in the year 2 in the throes of year 2, and we're on track to do that just that.
Operator: The next question will come from Steve Paella with Deutsche Bank.
Steven Pizzella: Just a couple of quick ones. Within locals, can you talk about if there was anything to call out from a cadence perspective intra-quarter?
Stephen Cootey: Cadence for the quarter No, I think it was pretty normal quarter, yes.
Steven Pizzella: Okay. And then I might have missed it. Did you give a sportsbook hold impact for the quarter if there was one?
Stephen Cootey: No, we didn't. What we did, I think prior question, we referenced it during the script because if you recall last year, during the third quarter call, we held unusually poorly, and we called a $4 million number out last October. We just wanted to remind folks that the hold is normal through today.
Operator: The next question will come from Jordan Bender with Citizens.
Jordan Bender: Maybe to drill down on margins one more time. If I look at casino margins, they continue to improve to levels we haven't seen in over 2 years. Is this a function of mix? Is it Durango continuing to ramp? Or anything else you would kind of point us to, to say this is kind of the right level for your casino margins looking forward?
Stephen Cootey: I think it's a function of the mix, but also I think the team has done a great job managing expenses.
Scott Kreeger: And I think it's been a shift in our approach to the market post-COVID, where we shifted towards high-limit slot rooms, high-limit table games. And I think we're doing a much better job post-COVID on attracting the high-end value customer.
Jordan Bender: Understood. And just on the follow-up, the dividend increase went up $0.01 a quarter. I mean is there any kind of calculation behind why that went up $0.01? Or was it just arbitrary that's kind of what you guys landed on?
Stephen Cootey: Well, it's a whole number to start. So it took some condensing, but it's $0.01 a quarter, so $0.04 a year. I think the Board recognized and the management team recognize the continued strength of the business and the long-term earnings power of the platform. The Board continues to evaluate its dividend policy every quarter. And so I think they set something up so that in the future, they could reevaluate quarterly earnings dividend increases.
Operator: The next question will come from Barry Jonas with Truist Securities.
Patrick Keough: It's Patrick Keough on for Barry tonight. First, zooming out on the construction impact, you had previously pointed to around $25 million for the year. Where would you say you are cumulatively? And any reason to think you'd be tracking above or below that number for the full year?
Stephen Cootey: I think we're tracking below that number, and I kind of walked you through it. sunset, we have seen marginal disruption in the past quarters. I expected $1 million to $1.5 million this quarter. Durango, Dave and the team down there have done an amazing job managing the disruption. So there's minor disruption there. It's tough to quantify because it's mainly peak parking time. And then Green Valley, I kind of walked you through what I think this quarter was about $2.5 million, $3 million. Next quarter, I anticipate $8 million sorry, this quarter.
Patrick Keough: Sounds good. As a follow-up, we'd be interested to hear any early thoughts on the taverns business. How many do you have open at this point? How have they performed relative to expectations? And what does your pipeline look like?
Scott Kreeger: Patrick, this is Scott. So we've got 8 under contract, 2 are operational. We've got 5 coming online starting in the early part of next year and all the way through to the summer. Early indicators are we're ramping to our investment thesis. So we're happy with the performance of the 2 taverns. And if we go back to the thesis a little bit of why we like the taverns, tends to skew a younger audience. As we grow our database, we're seeing that come to fruition that it's a younger customer base and the customer base we're trying to attract. Also, because of the locations of the 2 open taverns, we're finding a pretty strong penetration into unknown customers in those zones. So we're kind of reaching out and finding new customers that we didn't have in our bloodstream. And we are seeing those customers now migrate to our large box properties as well. So all of those original reasons why we got into the business, we're starting to see green shoots on. It's early days as we open up more of the taverns, we'll kind of solidify the performance and the kind of attributes of what we like about the taverns. But so far, we're pretty excited about it.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Stephen Cootey for any closing remarks. Please go ahead, sir.
Stephen Cootey: Well, thank you very much for joining the call, and we look forward to talking again in about 90 days. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.